Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Clearwater Analytics First Quarter 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. And now I would like to welcome Joon Park, Head of Investor Relations, to begin the conference.
Joon Park: Thank you, and welcome, everyone, to Clearwater Analytics first quarter 2023 financial results conference call. Joining me on the call today are Sandeep Sahai, Chief Executive Officer; and Jim Cox, Chief Financial Officer. After their remarks, we will open the call to a question-and-answer session. I would like to remind all participants that during this conference call, any forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Expressions of future goals, including business outlook, expectations for future financial performance and similar items, including, without limitation, expressions using the terminology may, will, can, expect and believe and expressions which reflect something other than historical facts are intended to identify forward-looking statements. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors section of our filings with the SEC. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-looking statements in order to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the cautionary statement included in our earnings press release. Lastly, all metrics discussed on this call are presented on a non-GAAP or adjusted basis and include the results of JUMP Technology since the acquisition on November 30, 2022, unless otherwise noted. A reconciliation to GAAP results can be found in the earnings press release that we have posted to our Investor Relations website. With that, I'll turn the call over to our Chief Executive Officer, Sandeep Sahai.
Sandeep Sahai: Thanks, Joon, and welcome all to our Q1 earnings call. We delivered a solid Q1. Let me start by discussing our revenue. As a SaaS-based solution, onboarding clients successfully and making them live on our platform is key to driving revenue and ARR growth. As you know, over the last few years, we have invested in setting up a scalable onboarding capability across the world, and we are now consistently delivering multiple programs concurrently. We were successful in bringing 29 clients live this quarter, some with hundreds of billions of dollars and others with a few hundred million. Simply put, revenue is better in Q1 because we continue to successfully onboard new clients and delight them. Clients like Athora, Corvid Peak, DARAG, UBS and many others went live on our platform under the leadership of our Chief Client Officer, Subi Sethi. She has built an organization that delivers consistently and repeatedly for clients, small and large. Centers in Boise, Noida and Edinburgh work closely with program leaders in London, New York, Boston, San Francisco and other offices to bring new clients on board often in less than four months. And in a vast majority of the time in less than nine months. The expanding network effect and the single instance architecture allows us to continue to make gains on the onboarding effort required to bring new customers' lives. In general though, we are a critical business solutions provider. As I'm sure you're acutely aware, the volatility of the investment landscape continues and it's in times like these that our platform shines brighter and our customers need us even more. One perfect example of this is SVB Asset Management. When Silicon Valley Bank, the parent company close the door, the more than 2,000 clients that received Clearwater reporting on their assets through SVB were left in a state of flux. After the news broke, our client servicing and technology teams worked over the weekend to provide these clients direct access to the Clearwater platform and to the portfolios, which, in turn, allowed them to understand their positions and investments. We supported the ability to not only get to their data but also help them understand their exposure and risk. When SVB landed with First Citizens Bank, we seamlessly turned access back to the new entity. The fact is we care very deeply about the success of our clients, whether they are direct or indirect. We believe that this focus and commitment allows new clients to come to the Clearwater platform with confidence. Speaking of new clients, we continue to sign new logos and are very excited to announce the Bank of America Private Bank and Merrill Lynch on our clients of the company. Asset managers continue to migrate to the Clearwater platform to grow their business by offering their customers comprehensive and timely reporting across asset classes and countries. And while doing that, they also dramatically improve the efficiency of the operations. We are excited to announce several other new logos, including Robinhood, Becker Capital Management, Arrowood Indemnity Company, Elastic, and Pacific Biosciences of California. We continue to see acceptance across market segments and geographies. On the product side, we are excited about the continuing maturity of our Prism platform. Building on the success of the seven-figure Prism deal in Europe announced during the last quarter, we closed another significant Prism deal where we will provide a comprehensive report on over $50 billion of our clients' assets. Here, again, they will use the platform for high-quality and inclusive client statements and reports. This is exciting because this is another proof point that Prism is allowing us to become the client reporting platform of choice. As we continue to invest in R&D and a multiproduct strategy, we are very excited about the progress our alternative assets initiative has made in 2023. Our focus on the alternative asset space has been instrumental in winning new logos and deals. Testament to that is the fact that in the last 12 months, approximately 40% of the net AUM added on our platform has been alternative assets. Based on feedback from our clients, we believe we are already delivering a best-in-class solution, but we are not satisfied. We will continue to invest in this program as we seek to bring disruptive solutions for LPs, mortgages, derivatives, bank loans and other asset classes. We have already integrated gap for the 11 largest global markets into our platform, and we are developing additional 6 bases, which will support our global portion. Finally, we are also investing in capabilities like insight and self-service, which will likely bear fruit in 2024 and beyond. A vast majority of our investments have been focused on ensuring that the platform continues to scale across client segments, asset classes and geographies. This has been very successful, and we expect to reduce the investments needed on that front as we close out 2023. Next, I would like to talk about the global opportunity. In Q1, I personally spent time in Europe and Asia with our teams, customers and prospects. I was struck by the commonality of opportunities and issues our clients face in these markets. If anything, the diversity of the accounting standards and regulations, make the demand for us usually even more compelling. The problems are exactly the same across markets, and our platform has proven to be as capable of providing a disruptive solution in Europe and Asia as it has been in North America. In support of this, we appointed Scott Erickson as our Chief Revenue Officer, to lead sales globally. Scott already led this function for North America and Asia and now adds Europe to his portfolio. He has embarked on unifying our global sales organization, ensuring consistency in the approach, process and messaging. Our other operating functions are already value globally. Subi Sethi leads operations and so it does lead technology. This structure allows us to move faster and deliver informally as one Clearwater across the globe. The integration of JUMP Technology is proceeding very well. We have an excellent partner Emmanuel, the JUMP Technology Founder and President and are working actively to provide a comprehensive solution for asset managers of all sizes and complexity. Integrated technology, sales and product teams have been working together since the beginning of the year. Lastly, let me talk about the team. We continue to hire across every office in line with the growth of the business. In Q1, we expanded our return to office policy. In my visits to different offices, I'm inspired by the enthusiasm and collaboration that I see within our team and that only comes from being together in the office every day. As I interact with the team, I'm continually pleased that our focus on building an outstanding engaged team shine through in each person. I'm very proud of this team and the passion and customer focus to bring to the office every single day. With that, let me turn it over to Jim to talk in more detail about our numbers.
Jim Cox: Thanks, Sandeep, and thank all of you for joining us. I'm happy to report good Q1 2023 results. Let me start with the top line and the metrics that drive revenue. In Q1 2023, we delivered 20% year-over-year revenue growth despite a macro market environment that certainly felt the impact from the challenges with regional banks, which happened to comprise approximately 2% of our revenues in Q1. First quarter revenue was $84.6 million or $1.6 million higher than we expected when we provided our guidance. We were able to deliver this revenue and beat our guidance based on the successful and faster-than-anticipated onboarding of new client assets during the first quarter. We reported annualized recurring revenue, or ARR, at the end of the first quarter of $337.4 million, an increase of 17.5% year-over-year. While we were heartened by the reacceleration of growth in ARR and the Q1 sequential growth of $13.9 million, which was better than the first quarter of both 2022 and 2021, we won't be satisfied until returning ARR growth to 20% plus. As of March 31, 2023, the gross revenue retention rate rounded to 97%. Actually, to be specific, it was 97.4%. This was the first time that gross revenue retention dipped below 98% in 17 quarters. And this was due to a confluence of churn related to acquisitions among our corporate insurance and asset management clients in Q1 of 2023. In general, our clients are more likely the acquirer, but when our clients are not, we will have our sales teams stay close to the acquiring company to be ready when they need better reporting. In the first quarter, net revenue retention remained the same as the prior quarter at 106%. We were assured by this good number because it aligned with our expectations. But of course, we strive to do better. As we indicated last quarter, we expect net revenue retention to remain near these levels as we build out our multiproduct offerings. It's also worth noting, we've made our new commercial model, our de facto standard of contract. And in this quarter, essentially all of our new clients signed at base plus contract. As a reminder, the base plus contract framework includes a base fee for a prospective clients existing book of business, plus an incremental fee for increases in assets on the platform. The base plus model includes annual increases in the base fee and enables us to charge additional fees for supplemental services or additional products should the client subsequently select to utilize those service. This base plus structure has the effect of limiting the downside volatility in our asset-based fees. Over the next 90 days, we will roll out our new market-specific offering bundles. This is an important next step in our journey to becoming a multiproduct company, and we look forward to updating you on that initiative at our next earnings call. Now let's turn to our profitability results. We reported $22.5 million in adjusted EBITDA and 26.6% EBITDA margin in the first quarter, a solid result and better than our guidance based on the revenue beat and prudent expense management. Gross profit in the first quarter was $64.2 million, and gross margin came in at 75.9%, which is a significant improvement from the 74.2% in the first quarter of 2022. Gross margin continues to be robust even as we continue to invest to build our global scale. Research and development expenses in the quarter were $22.7 million or 26.8% of revenue, an increase of $2.6 million from Q4. R&D expenses include three months of JUMP expense in Q1 compared to the single month in Q4. Sales and marketing expenses in the quarter were $10.2 million, an increase of 18.4% year-over-year, and that equates to 12.1% of revenue. Sales and marketing expenses typically ramp up throughout the year as annual quota achievement bonuses are earned, and there is more marketing spend in Q2 and Q3. General and administrative expenses in the quarter were $8.8 million or 10.4% of revenue, an increase of $1 million from Q4 based primarily on the timing of professional services fees. On a GAAP basis, there was a $6.4 million increase in G&A expenses from Q4 to Q1. The primary driver of the increase is the $3.3 million of equity-based compensation associated with the JUMP acquisition as well as a $1.3 million increase in equity-based compensation to management and a $0.9 million increase in transaction fees associated with the secondary offering. The JUMP equity-based compensation was negotiated as part of the acquisition of JUMP Technology. Speaking of the JUMP acquisition, as Sandeep mentioned previously, we continue the integration process of JUMP in the first quarter, and we are happy with the progress. We've created joint teams to merge our development efforts and business functions, and we are excited by the pipeline. We see demand from our existing client base and with investment management prospects in North America to desire an end-to-end solution. In fact, we're also excited to announce that in early Q2, our first Clearwater client selected JUMP Technology to augment their Clearwater solution with intra-day portfolio management supported by JUMP. Let's turn to the balance sheet and cash flow. We ended the quarter with $256.8 million in cash, cash equivalents and investments and $49.9 million in total debt, resulting in net cash holdings of approximately $207 million. During the quarter, we began investing our excess cash in fixed income securities for excess yield. Perhaps it goes without saying, but of course, our team is yet another happy user of the Clearwater system for our investment portfolio. Free cash flow for the first quarter was $6.2 million, representing year-over-year growth of 33%. Free cash flow also included $1.7 million of capital expenditures. EBITDA to free cash flow conversion is lower in the first quarter of each year as we typically pay year-end bonuses and commissions. Within the financing activities of the statement of cash flow, you will notice that we used $7.3 million to pay taxes related to the net settlement of shares. We elected to net settle certain RSUs and options to limit the dilution to shareholders from equity-based compensation. Now let's turn to guidance. Focusing on guidance for the second quarter of 2023, we expect revenue to be $87.5 million and adjusted EBITDA to be $22.8 million. In Q2, we expect an adjusted EBITDA margin of approximately 26%. For the full year 2023, we have increased the low end of the revenue guidance range from $361 million to $362 million and now expect revenue for the year to be in the range of $362 million to $364 million, which represents approximately 19% to 20% year-over-year growth. The guidance we provided previously for all other measures remain unchanged. After another quarter of strong execution in Q1, we look forward to continuing to reaccelerate revenue growth by building on our leading competitive positioning with further integration of JUMP and the execution of our full multiproduct solution. With that, I'll turn it over to Sandeep to provide some closing thoughts.
Sandeep Sahai: Thank you, Jim. We appreciate your interest in Clearwater Analytics. We continue to be focused on execution and remain cautiously optimistic despite the macroeconomic conditions. As always, we remain relentlessly focused on our clients' long-term success and supporting them as the benefit from our technology's powerful network effect. With that, let me turn it over to the operator for questions.
Operator: [Operator Instructions] The first question comes from the line of Kevin McVeigh of Credit Suisse.
Kevin McVeigh: Great, thanks so much and congratulations on just really, really terrific results in the environment we're in. The full year guidance looks really good. Is there any impact in that guidance from those regional banks you highlighted? I think you said about 2% of revenue. So would it have been that much higher? Or are those clients kind of still there? Just trying to get a sense about that just given some of the volatility we've seen.
Sandeep Sahai: Thank you, Kevin, for that question. So just talking about regional banks, we just wanted to provide some perspective. So including SVB, which we said earlier was about 1, 1.5, it is about our exposure to regional banks is about 3% of ARR. We don't really have much of an exposure there, but we also wanted to talk about those two specific cases. One is SVB and the reality is that they are a customer, and they ended up with First Citizens Bank, who is also a customer. So the impact on our business isn't really that high. And the second one, obviously, is First Republic Bank. And here again, they were acquired by JPMorgan largely, most of the assets were acquired by JPMorgan. And again, both of those are customers, and we don't see them having much impact on our operations. So when you think about guidance and we think about revenue in the year, we think that impact is quite muted actually, just given the size of our exposure to regional banks and the fact that the impact that has on our revenue base is really, really remittent.
Kevin McVeigh: Terrific. And then just really, the gross margins were exceptional. Maybe help us understand that a little bit? And did JUMP help or hurt those margins?
Jim Cox: Sure. Really, JUMP is a pretty small piece of the whole puzzle, Kevin. So really what should help those gross margin faster than we expected of those clients. So as you think about it, as we're onboarding clients, we're putting, obviously, a disproportional amount of effort into getting them live and going. And also to the extent that we were going to provide discounts, we would do it during that onboarding period. And so we see a nice lift from the onboarding onto what we call the steady state of the gross margin of our clients. And that mix shift helped with respect to that, more than JUMP in particular. I think the last thing I'll say about it is if you think about it, I think it's too early to claim success here. We're not at the finish line on this. But if you recall, ever since we went public, we've been making a concerted effort to really grow our global footprint, expanding in Edinburgh, expanding in India and expanding kind of in our client servicing model. And I think we're starting to see – we're still making investments there. But I think we're starting to see the maturity and we've been promising moving to that 80% gross margin over the long-term. And I think we're starting to see – it's not going to be a straight line just to manage your expectations. But I think we're seeing the fruits of all of those levers.
Kevin McVeigh: Great, thank you.
Operator: Thank you. The next question comes from Rishi Jaluria of RBC. Please proceed.
Rishi Jaluria: Wonderful. Thanks. Thanks so much for taking my questions. It's nice to see continued resilience in the business. I wanted to start by asking about Prism a little bit. Sandeep, you called out some pretty big deals with Prism, really great to see that continued success there. What do you think is kind of the end game with these customers who are on Prism? Is it that they continue to expand and kind of stay there? Is there some sort of motion to get them to become full-blown Clearwater platform customers and potentially even bigger over time. Maybe help us understand what does that glide path look like and what's the potential with some of these customers? And then I've got a quick follow-up.
Sandeep Sahai: Yes. Thank you, Rishi, for that question. And frankly, it's really important for us. This move to the multiproduct world, I think, is an important way to get to high NRR numbers. So I'm happy to discuss it. You also remember, Rishi, that the first product we invested in outside the court was Prism. So it's not a surprise that Prism has gained some maturity and are starting to see six-figure deals, seven-figure deals. So we're really excited about where this could go. So when you think about our vision for Prism, it is to be a client reporting portal for all functions that client wants to see. So we think they want to see all kinds of things, including comprehensive reporting. They want to see analytics. They want to see ESG. They want to see various teams, which clients care about. Then you might ask, what is the size of this, where could this be? And our thinking, Rishi, is that as we sort of think about a $1 billion company, we have to get excited about ideas that are $50 million to $100 million of size. Things have to be of that level for us to get excited about delivering results over the next three to four years. So that's how we think about Prism. We think it's the furthest one along and we think it's starting to have a meaningful impact on the bookings we have every year. Obviously, you know about alternatives, and that's the next big one for us is when we think about LPs quite a bit, we think about mortgages, we think about bank loans and things like that. And that is another source of investments we are making. And frankly, really seeing really, really good success already. I think I pointed out earlier, Rishi, that 40% of the net AUM growth in the last 12 months was from alternatives. It just gives you a sense of how much alternatives are helping us. Our capability in alternatives are helping us win new deals. So look, I feel we're quite excited about this move to multi-products. As long as you remember that this is still pretty early in terms of getting real revenue for anything outside Prism. Prism is starting to be a real source of revenue, and the others are helping us smaller deals, but they all showing signs of maturity. Sorry for that long-winded answer here, but this is one which I think is really important for the company as we think out on a path to $1 billion in revenue.
Rishi Jaluria: No. Absolutely, that's super helpful. I really appreciate all the detail. And then maybe I want to go back to thinking about the kind of banking crisis we've seen. Maybe from my seat, it feels like, if anything, this is illustrating more of the need for your solutions as companies need to have a better view into their investments into real-time pricing and it's a better understanding risk. Is that something you've seen as you've been talking to both customers and prospects that there's just increased awareness of the need for these sort of solutions given everything that's going on? Or is there a way that from your vantage point that you can leverage that as kind of event to just drive more demand? Thanks.
Sandeep Sahai: So in asset management, it's all people are buying right now. As you know, the asset management cost structure is a little bit challenged. So it's very hard to go and sell new things. But when it comes to their own growth is driven by client reporting. We announced, as we announced what we did with UBS that came online. We announced Bank of America Private Bank. We also announced Merrill Lynch. So we're actually seeing not just conversation, but wins and go-lives with asset managers. And I think you're exactly right. I do think it's driven by their clients demanding more and more transparency, more and more cash flow forecasting, more and more risk forecasting. So really, we think that, that is a winner. And we feel we just have the right technology in terms of Prism or being able to sort of really help our clients here.
Rishi Jaluria: Wonderful. Really helpful. Thank you so much.
Sandeep Sahai: Thank you, Rishi.
Operator: Thank you. The next question comes from James Faucette of Morgan Stanley. You may proceed.
Michael Infante: Hi, guys. It's Michael on for James. Thanks for taking our question. Maybe, Jim, I think I heard you say that almost all of the incremental wins were on the new pricing model. Is that right? And if so, can you sort of help with the guardrails in place as to the characteristics of a client that may be a better fit under the previous pricing model?
Jim Cox: Yes. I think it was – I think the specific number was 96%. So we're talking about one deal. And I would say that it is more a function of when we started the conversation with that client and showed them paper for the first time. I'd love to – I think everyone, as we're engaging with clients, and talking about this model for the first time, folks are accepting it and moving forward with it. And then probably your follow-up is then, well, what's happening with your existing clients? And we continue – we have an annual cadence where we're talking about price increases and those sorts of things with clients. And as those come around, we're talking to clients about the option around base plus. But again, we're past the importance of that within the existing client base, and it's just how we go to market going forward.
Michael Infante: Understood. That's helpful. Maybe just on the Bank of America Private Bank deal specifically. I understand you likely can't disclose what a particular customer's ACV is. So maybe just more generally, could you sort of speak to how ACVs for some of your larger client wins have generally been trending over time?
Jim Cox: So I think maybe let's not talk about that. But last year, we talked about two mega insurers and obviously, wins, one in the third quarter and one in the fourth quarter of last year. And obviously, those are – I don't think it's surprising for people to understand that those are seven-figure deals. But we continue to see lots of six and seven-figure deals. And I think we're really excited about the pipeline for those mega insurers in 2023. And we think that there's more of those to talk about as we move throughout the year.
Sandeep Sahai: Yes, Michael, I think – I think we're fair to say that when you think about asset managers, it's almost entirely driven right now by how do they grow their business. And that almost always is superior client reporting analytics. The more comprehensive, we can provide that the more digitally and otherwise, the more they can sort of slice and dice the data and produce reports quickly. I think that's what makes the difference. So those deals tend to be bigger and they may sometimes start somewhat smaller and then add more and more books. So we've seen that happen. But generally speaking, the size of the deals we are seeing in the market are continuing to grow, right? And we would expect that.
Michael Infante: Perfect, thank you both.
Sandeep Sahai: Thanks Mike.
Operator: Thank you. The next question comes from Michael Turrin of Wells Fargo. You may proceed.
David Unger: Hey, thanks. It's David Unger filling in for Michael Turrin. And just one for me. I thought I heard your comments in the prepared remarks just talking about reducing investments exiting the year. Any areas in OpEx that have the best potential to be optimized near-term, maybe anything related to AI. Thank you.
Sandeep Sahai: Yes. So now you are in my favorite topic. Thank you, David, for that question. That's really – that two things. David, there is two things. One is, we obviously have gone from largely being focused in North America to grow into Europe and to growing into Asia. So we have spent a really large share of R&D dollars on that business of making it scalable, making it global. But once you have built it, then you don't have to keep building it, right? So we do expect, I think, in the prepared remarks that towards the end of 2023, you should be able to take that investment down meaningfully, right? So that's what we think. Now will that also up in 2023? Probably none of it. But by the end of 2023, you should be able to see much of that benefit start to flow through. So that's what we think about the R&D thing. The second one is, we are really excited about what the LLM can do on large language models can be super helpful on the operations side, very specifically reconciliation and aggregation. It can be very helpful on the client services side. And what we do, as you know, is somewhat sophisticated. It's not just answering the phone. It is understanding the accounting. And therefore, LLM can really help in making our teams to something which is exciting, and we want to really push on it. We've been trying many, many things, and the result in each one of those cases has been, wow, is this possible? And so again, it's too early to predict what we would do with it and what the financial impact would be. But I do think it is a really interesting technology in many, many solution providers.
David Unger: Thanks Sandeep.
Sandeep Sahai: Thank you, David.
Operator: Thank you. The next question comes from Jackson Ader of SVB MoffettNathanson. Please proceed.
Jackson Ader: Great, thanks for taking our questions, guys. The first one is on the macro impacts. We kind of keep talking about how it's a challenging macro environment, and you mentioned Sandeep asset management cost structure being challenged. So can you just spell out like what is the challenge? And how is it impacting not asset levels or asset values, but impacting actually the bookings.
Jim Cox: Sure. So maybe Jackson, welcome, good to talk to you. Maybe why don't I do this – why don't I talk about how I'm thinking about it. And then Sandeep can talk about how it's impacting bookings, if at all, and there's multiple directions there. But I think the simplest way to think about it is, right, hey, we're starting to reaccelerate our ARR at 17.5%, but still not 20%. But if you historically go back to 2021, right, we were averaging NRR of kind of 110, right? And these last two quarters, we've been at 106, and we troughed even below that. So you can see kind of that impact kind of flowing through, right? And so that's kind of a quantitative way that we are observing some of that market disruption. We still see the path to 115 and further aspirationally is through the multiproduct strategy. And we think we've done a lot with the commercial model to mitigate those risks about that. But let's just be clear. It's different. And that's about two points different in the NRR. I think that's the easiest way to see kind of some of that flowing through. As it relates to bookings, I think there's definitely growth in cost to that, and I'll let you kind of speak to that.
Sandeep Sahai: Yes. Sure. Jackson, big questions, so I'll try and answer a couple of parts of it. One is, what about the macroeconomic, why do we keep saying it, Well, we mostly keep saying it because all of you keep saying it, right? So we just are watchful because everybody keeps talking about the macroeconomic moment, and we are concerned, we are very watchful about it. But as you noticed, our revenue guidance is largely unchanged. Our earnings guidance has largely unchanged. And therefore, we just simply continue to execute until we see something change on the demand side or on the booking. Until we see that, we are just going to continue to sort of execute to our plan, while being somewhat cautious making sure that we are not being overly optimistic about something. Specifically on demand, though, if you just talk about just demand, the first thing I would like to say. One is, competitively, nothing has really changed. It's not like there's a change in the competitive environment. So that's point number one. Point number two is that we really see very good momentum in mega cap insurers. We closed two large mega cap insurers last year, and we have good confidence that we'll continue to do that and better this year. So that feels really good. Then you think about asset managers. And we are quite excited that we won Bank of America Private Bank, and we also won Merrill Lynch this quarter. And so that feels really good from an asset management point of view, Europe is doing reasonably well. As I said, the last quarter, we won a number of deals this year – this quarter. JUMP we talked about, they've announced two cross-sell deals. And so that's always encouraging when you do an acquisition. And so we feel like we've got demand the way you expected. Is it better than we thought? No, it is not. Is it what our plan is, yes, we seem to be close to plan. And that's how it define how we think about the year right now. Sorry, you've got a really long answer to that.
Jackson Ader: No, that's helpful. I'll sneak just one more quick one. So it sounds like then with the guidance for the most part for the year unchanged. I mean should we think about it as maybe upping kind of your coverage for the rest of the year rather than kind of a really good first quarter, but now we're feeling worried about the rest of the year?
Jim Cox: So Jackson, so two elements to it. One is the onboardings that got completed in Q1 and were strong, we were planning for them to come online in Q2, right? So there's some – obviously, there's help in the quarter, but then how does that flow through to the year. It wasn't like it came out of nowhere. The other thing I would say is, just to be honest, people gave me a little stick about, hey, the second half of the year looks quite ambitious. And now maybe it doesn't look as ambitious after we delivered the first quarter. And you can interpret that from a coverage perspective, how you wish.
Jackson Ader: Okay, thank you.
Jim Cox: Thanks Jackson.
Operator: Thank you. The next question comes from Gabriela Borges of Goldman Sachs. You may proceed.
Gabriela Borges: Good morning, thank you. Sandeep, I'll follow up on your comments on the momentum in mega cap insurers. Maybe give us a little bit more color on how you're prioritizing the sales team go to market and the incentives there. And when you look at your wins in mega cap insurance, how much do the timing of renewal cycle matter? Meaning, I imagine that your sales team has a pretty good sense of which contracts are up for annual when at the larger customers? And maybe give us a little color on how you see that progressing over the next 12, 24 months? Thank you.
Sandeep Sahai: Yes, sure. Thank you, Gabriela, for the question. I think you're exactly right. I think, look, what happened is that last year, we announced two mega deals. And I think that has really helped our go-to-market. Literally all 25 like you just played out, we know exactly when the contracts are coming up. We know their pain points. We know what they're concerned about. Some are concerned about alternatives. Some are concerned about the ability to report on risk. Some are concerned about their ability to do audits correctly. So there is a whole list of pain points, if you will, but we're also fully aware of when their contracts are coming up for renewal. And I've got to say for the first time in the last five years, we have inbounds. People saying, hey, why did Nationwide pick you, what happened? And so we had been very happy to have inbounds. And on all of the mega insurers, we have active marketing campaigns going on as we speak. Now some of them are not going to convert before two years, some maybe next year, some this year. So we feel really good about our position and our value proposition for the mega insurers, and we expect to win many more than our share.
Jim Cox: Yes, I think to your point, on the GTM, Gabriela, back up in 2021, we carved out a team, including some great salespeople and they got to work in 2021. And the fruits of those labors came to fruition in 2022. And now we're seeing that working. So a lot of these investments have been put in place, and it's great to see the fruition of that in that mega cap. We're making those same investments globally.
Sandeep Sahai: These are elephant hunters. As you must have seen in other companies, this is not somewhere you can go sell a $1 million deal and also hunt elephant. So this organization, the one which focuses on mega cap insurers do only those. So they don't look at $0.5 million and $1 million deals. They're looking at several million dollar deals to make it to their pipeline, which really is the top 25 large mega insurers.
Gabriela Borges: That makes sense. Thank you.
Sandeep Sahai: Thanks Gabriela.
Operator: Thank you. The next question comes from Dylan Becker of William Blair. You may proceed.
Dylan Becker: Hi, gentlemen, nice job here. Maybe sticking with kind of some of that similar commentary. I think Jim, you made a note around kind of market-specific bundles and kind of domain expertise, specialization maybe rolling into the back half of the year. But how do you see that kind of playing out from a sales efficiency referenceability standpoint kind of moving forward, some of these cross-sell efforts and maybe also benefiting from a streamlining perspective and some of that accelerated onboarding capability you talked about?
Jim Cox: Sure. Thanks, Dylan, and thanks, welcome as well. So I think the first thing to remember is even though our commercial model and our bundles are there, we still have that single – we still have the benefits of the single platform and you know the single global security model that we have. I think as it relates to some of the go-to-market activities, we talked about the team – the Mega team that we started investing in, in 2021, we have a team that is solely focused on those back sell. And we've seen lots of success with them delivering on the alternatives solutions. So when you think about kind of what are the alternatives, sure, you're already accounting for your LPs and your other alternatives, but maybe you want to look through and see what the underlyings are and understanding that, that's the next level of detail, but we have a solution for that as well. And so how do we then – we have a team that's in going to market and delivering on that. And we see kind of as all of these build out throughout the year and both kind of the product maturity occurs, the market momentum occurs where we have more and more referenceable clients. And then we have the team in place to try and deliver for that.
Dylan Becker: Got it. That's super helpful. And maybe going back to the topic of kind of AI outside of kind of maybe some of the internal optimization capabilities. I think Sandeep, maybe you even mentioned the capabilities and opportunity on the Insights offering, right? You guys have $6.5 trillion almost across the platform that gives you a very unique perspective to deliver value for customers. But how are you thinking about emphasizing that on the R&D side and kind of productizing that to support some of those expansion initiatives, maybe not as much in 2023, but longer term there as well. Thanks.
Sandeep Sahai: Yes. Sure. So look, we continue to obviously make investments for 2024 and 2025 and some in 2026. And I do believe one of the most exciting one is the Insights. And that is actually being run directly by Jim. We have a dedicated team, which is going to be focused on this. And all they're going to try and do is derive insights which are helpful to our clients. Now the good news is the clients are always coming to us already looking for insights, hey, how did I do against the industry and things of that nature. And we feel that we are in exactly the right spot to do it because you have a similar instance of multi-tenant platform. How do I amortize this, how do I report on that? What kind of things are needed for this? So we do have just the nature of the platform allows us to provide that and put to our clients. So how do we do it in an organized fashion, which is monetizable is something we're working on very actively. So I don't think you'll get any revenue from that in 2023 and perhaps even the first half of 2024. But two, three years out, we do think it will be a really important part of Clearwater.
Dylan Becker: Got it. Very helpful. Yes, definitely an exciting kind of long-term opportunity. Thanks again, guys.
Sandeep Sahai: Thank you.
Operator: Thank you. The next question comes from the line of Brian Schwartz of Oppenheimer. You may proceed.
Ari Friedman: Hey, this is Ari Friedman sitting in for Brian Schwartz. I was wondering if you could talk about a little bit about the demand you're seeing internationally, I guess, like today in comparison to prior quarters. Thank you.
Sandeep Sahai: Yes. So look, I think, firstly, just the facts, right? So the international revenue this year, this quarter, pardon me, was 17% versus Q1 of last year. So international continues to grow really nicely and quickly for us. I do think the largest ones we've seen are in the insurance space in Europe. And that seems by far the largest pipeline. Those deals tend to be large. So these are not a couple hundred million dollar. Management is the other one, which is doing well in Europe. We have yet to do much with that in Asia, just because Asia is a little bit further behind compared to Europe. Anything else, Jim, you would add to that?
Jim Cox: I'd say, as I think international, the one thing that's still coming to fruition, I think thus far, we've had success cross-selling JUMP within our North American client base and we have a few joint opportunities internationally as well that comes together. And still early days there, but we clearly see demand for that combined offering.
Ari Friedman: That’s great, thank you.
Jim Cox: Thank you so much.
Operator: Thank you. The next question comes from Yun Kim of Loop Capital Markets. You may proceed.
Yun Kim: Thank you. Congrats on a solid quarter. In your prepared remarks, you mentioned that some of the revenue upside in the quarter was driven by the faster onboarding. Just curious on whether that was a more customer specific situation? Or is that some process improvement that can be sustained going forward?
Sandeep Sahai: I'd just like to think it is a little bit of both. I think we executed flawlessly on quarter one. So just the team was able to do a good job with a whole host of clients. And that's why in my prepared remarks, I said, concurrently, we seem to be able to deliver multiple programs. So we think we're really excited about that. We also have a separate program, which investigates how we onboard, what takes time and what technology can we use to compress that time, right? So that is an 18-month program, and that is also bearing fruits in terms of how do you shorten the time, make sure your level of accuracy is higher the first time round. So I think it's a little bit of both. And frankly, we're very excited about the onboarding capability. And that's why in my prepared remarks, I started with that because I do think it's – it gives customers a lot of confidence when you can onboard them quickly and they talk about that to other clients and other prospects. And that just sort of helps us grow.
Yun Kim: Okay. Great. And then just – one second. And then just curious on – given the current uncertainty in the banking industry, has your go-to-market motion changed or introduced some steps to kind of take advantage of the situation? Are you seeing a lot more inbound interest or even the velocity of your deals at the top of the funnel improving positive results?
Sandeep Sahai: So two things. Just on the current clients we have, the intensity with which client services we're engaging with them is much higher. So we want to stay very, very close with them. That's one. For the clients that are somewhat impacted, I think we were speaking in the prepared remarks that we have tried to do everything we can to not just take care of their potential needs but also indirect clients of those. For example, we were talking about SVB and it's not just SVB. But the 2,000 clients they have who were using the Clearwater platform. So we think that getting that – focusing on those clients really is a book. Just on the demand environment, I do think the conversations we're having with asset managers has definitely increased. And we did announce two large and meaningful wins in Q1 in the asset management space, obviously, Bank of America Private Bank and also Merrill Lynch, but we're also excited to announce that UBS on the client servicing side and the client reporting portal, pardon me, went live in Q1. So you have really exciting growth in the asset management business.
Yun Kim: Okay, great. Thank you so much.
Sandeep Sahai: Thanks very much.
Operator: Thank you. There are currently no additional questions registered at this time. So I would like to pass the conference back over to the management team for any closing remarks.
Sandeep Sahai: Yes, I just want to thank all of you for your interest in Clearwater. We're trying to build something special here and your involvement with us is very much appreciated. Thank you all.
Operator: And with that, we will conclude today's call. Thank you for participating. You may now disconnect your lines.